Operator: Good day, and thank you for standing by. Welcome to the fourth quarter 2025 L.B. Foster Company earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during this session, you will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Lisa Durante. Please go ahead, ma'am.
Lisa Durante: Thank you, operator. Good morning, everyone, and welcome to L.B. Foster Company's 2025 earnings call. My name is Lisa Durante, the company's Director of Financial Reporting and Investor Relations. Our President and CEO, John F. Kasel, and our Chief Financial Officer, William M. Thalman, will be presenting our fourth quarter operating results, market outlook, and business developments this morning. We will start the call with John providing his perspective on the company's fourth quarter and full year 2025 performance. Bill will then review the company's fourth quarter financial results. Some statements we are making are forward-looking and represent our current view of our markets and business today. These forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise or publicly release the results of any revisions to these statements in light of new information, except as required by securities law. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and presentation. We will also discuss non-GAAP financial metrics and encourage you to carefully read our disclosures and reconciliation tables provided within today's earnings release and presentation as you consider these metrics. So with that, let me turn the call over to John.
John F. Kasel: Thanks, Lisa. Hello, everybody. Thank you for joining us today for our fourth quarter earnings call. I will begin my comments on Slide 5, covering the highlights of the quarter. During last year's quarter's reporting cycle, we indicated that our increased backlog should deliver a strong fourth quarter, and I am pleased to report we wrapped up 2025 with exceptional sales growth, robust profitability expansion, and strong cash generation. Truly a fantastic finish to the year. Net sales of $160.4 million were up 25.1% over last year. This was the highest fourth quarter sales since 2018. Both segments delivered significant sales growth in Q4 with Rail up 23.7% and Infrastructure up 27.3%. Gross profit was up 10.6%, while gross margin of 19.7% was down 260 basis points due to weaker Rail margins primarily related to our TS& S business in the UK. Coupled with greater volume of Rail products, we delivered strong leverage of SG&A expenses, which were down $1.3 million or 5.2% from last year's quarter. The Q4 SG&A percentage of sales improved 470 basis points to 14.4%. Adjusted EBITDA of $13.7 million was up a remarkable $6.4 million or 89%, with the increased gross profit and lower SG&A expenses delivering the improvement versus last year. In line with our seasonal working capital cycle, we also delivered a strong quarter of cash generation, with operating cash totaling $22.2 million. Cash was deployed with capital expenditures at $2.4 million, stock repurchases of $3.3 million, and further reduction in net debt of $16.9 million to end the quarter's balance at $38.4 million. As a result of lower debt levels and improved profitability, our gross leverage ratio improved to 1.0x, down from 1.6x at the start of the quarter and 1.2x last year. I will now turn to Slide 6 to cover some of the key highlights of the 2025 full year results. Sales of $540.0 million were up 1.7%, with the full-year growth achieved as a result of a strong fourth quarter. Infrastructure delivered a strong year with sales up 14.9%. However, Rail sales were down 6.5% due to Doge-related U.S. Government funding impact at the start of 2025, and we continued our proactive scale-down measures with our business in the UK. Adjusted EBITDA of $39.1 million was up $5.5 million over last year and substantially lower SG&A expenses, partially offset by slightly lower adjusted margins. Operating cash flow also improved in 2025, totaling $35.6 million and up $13.0 million over last year. We deployed this cash to fund $10.4 million in CapEx, reduce net debt $6.1 million, and fund $14.4 million in stock repurchases under our stock buyback program, which reduced our outstanding shares 5.4% in 2025. New orders net of $540.9 million were up 6.8% year over year, and overall backlog increased 1.8% to $189.3 million with substantial improvements realized across our Rail business. I am very proud of what our team has accomplished in 2025, especially the strong finish in the fourth quarter. Their disciplined execution of strategic playbook continues to manifest in improving profitability and returns, and is positioning us well for expected growth in 2026 and beyond. I will now turn it over to Bill to cover the financial details for the quarter and year. I will come back in the end with closing comments on our markets and outlook for 2026. Over to you, Bill.
William M. Thalman: Thanks, John, and good morning, everyone. I will begin my comments covering the fourth quarter highlights on Slide 8. As always, the schedules in the appendix provide more information on our results, including the non-GAAP disclosure reconciliations. Fourth quarter net sales of $160.4 million increased 25.1%, with higher organic volumes realized in both Rail and Infrastructure. While gross profit grew 10.6%, gross margins declined 260 basis points to 19.7% due to the weaker results in the UK, coupled with unfavorable sales mix in the Rail segment, partially offset by improvements realized in Infrastructure. More to come on segment sales and margins in a minute. SG&A as a percentage of sales of 14.4% was down 470 basis points due to lower personnel and administrative costs, despite the substantially higher sales volume. I will mention here that we completed a further restructuring of our UK Rail business in the fourth quarter. The total restructuring charge in Q4 was $2.2 million, with $1.0 million recorded in gross margin and $1.2 million recorded in SG&A. We expect this program, including staff reductions and two facility closures, to deliver approximately $1.5 million to $2.0 million in run-rate savings in 2026. Adjusted EBITDA for the quarter was $13.7 million, up 89% versus last year due to the higher sales volumes and the resulting improved gross profit, coupled with the lower SG&A expenses. I will cover cash flow performance along with segment orders and backlog later in the presentation. We would like to remind everyone of the financial performance seasonality we typically see over the year, reflected on Slide 9. Our sales and profitability are typically strongest in the second and third quarters, with the first and fourth quarters a bit weaker. This is due to the construction season for our customers in the spring and summer months. The phasing was skewed a bit in 2025, with the abnormally soft Q1 start for the Rail business related to the Doge government funding impacts, with both segments having an exceptionally strong fourth quarter. As a result, combined Q2 and Q3 sales and profitability as a percentage of the full year are slightly lower than what we would typically see with the strong performance in Q4. And as we have seen over the last three years, free cash flow is strongest in the second half of the year, as working capital needs unwind in line with the end of the construction. I will next cover segment details starting with Rail on Slide 10. Rail fourth quarter revenues totaling $98.0 million were up 23.7% over last year. The increase was driven by higher volumes in Friction Management and Rail Products, up 41.6% and 31.1%, respectively. Softer demand in both the UK and North American markets. Rail margins of 17.8% were down 440 basis points due primarily to lower sales volumes, higher costs, unfavorable sales mix, and the $1.0 million restructuring costs associated with our downsizing efforts in the UK. Rail margins were also adversely impacted by the dilutive impact of higher Rail product sales volumes. While Rail orders were softer in the quarter, Rail backlog was up 55.3% year over year, with substantial gains realized across all three business units. Turning to Infrastructure Solutions on Slide 11. Segment revenue increased $13.4 million or 27.3%, with sales growth realized in both business units. Steel product sales were up 58.2% led by a 206.5% improvement in protective coatings. Precast concrete also continued its strong run with sales up 18.7% for the quarter and 19.9% for the year. Infrastructure gross margins were up 20 basis points to 22.8%, with gains in steel products offsetting lower precast margins. Higher sales volumes and improved business mix drove steel product margins up, while precast concrete margins were weaker due to unfavorable sales mix, coupled with a $600,000 increase in start-up costs related to our new facility in Florida. And finally, the lower Infrastructure backlog reflects the $19.0 million Summit order cancellation reported back in Q3, as well as lower open orders for both Bridgeforms and precast concrete. We started last year with an elevated backlog for Infrastructure, especially for precast concrete. This year reflects a normal level that we expect will increase in the coming months as we enter the construction season. I will briefly cover the full-year highlights on Slide 12. As John mentioned, 2025 sales were up 1.7%, with the strong Q4 results delivering sales growth for the full year. Infrastructure realized sales growth in every quarter in 2025, while Rail achieved growth in the fourth quarter only, due to the weaker start to 2025. 2025 adjusted EBITDA was $39.1 million, up $5.5 million compared to last year, driven by substantially lower SG&A expenses, partially offset by lower margins resulting from the weakness in Rail. It should be highlighted that 2025 results included approximately $2.2 million in start-up costs related to our new precast facility in. In addition, reported gross margins and SG&A reflect the costs and charges associated with the UK automated material handling product line exit announced in Q2 and the UK restructuring completed in Q4. Such costs totaled $1.4 million and $2.2 million, respectively. And finally, I will mention here that the year-over-year decline in net income was driven primarily by last year's federal valuation allowance release, coupled with a relatively higher effective tax rate this year due to higher UK pretax losses not being tax-effective. We expect our effective tax rate to be substantially lower in 2026 with an improved outlook for the UK, which John will touch on in his closing remarks. I will now cover our liquidity and leverage on Slide 13. We have successfully managed our leverage and levels in line with our business profitability and capital allocation priorities, and the chart on Slide 13 reflects a consistent pattern of steady improvement over time. In 2025, we generated $35.6 million in operating cash flow and $25.2 million in free cash flow. Over the last three years, our average free cash flow was approximately $28.0 million, excluding the Union Pacific settlement payments, which were completed at the end of 2024. As a result, we have maintained significant financial flexibility while also executing our capital allocation priorities. Our capital-light business model, along with the modest cash tax requirements provided by our federal NOL, further enhances our cash generation and financial flexibility to fund our capital allocation priorities, which I will now cover on Slide 14. Managing our debt and leverage levels remains our top capital allocation priority, and we maintain a disciplined, prudent approach to capital allocation with leverage in mind. At the end of 2025, the gross leverage ratio for our revolving credit facility was just under 1.0x, a low point in recent years and at the low end of our target range of 1.0x to 1.5x. Seasonal working capital needs are expected to elevate our debt and leverage somewhat in early 2026, but we should stay around our target range and realize improvements in the second half of the year in line with our normal cash cycle. Capital spending in 2025 totaled $10.4 million, or 1.9% of sales. We have several targeted organic growth programs within our Precast Concrete business that we expect will increase the CapEx rate of sales to 2.7% in 2026. Share repurchases are an important capital allocation priority for us, and we have $28.7 million remaining to spend on our buybacks under the most recent authorization approved in February 2025. We repurchased approximately 121,000 shares for $3.3 million in Q4, and we repurchased just over 1,000,000 shares, or approximately 9% of the shares outstanding, at an average price of just under $23 per share since restarting the program back three years ago. And finally, we also continue to evaluate tuck-in acquisitions to add breadth to our growth platforms, primarily in the precast concrete market space. My closing comments will refer to Slides 15 and 16 covering orders, revenues, and backlog trends by business. The trailing twelve-month book-to-bill ratio at the end of Q4 was 1:1, improved from Q4 last year but down from Q3 with the strong Q4 sales. Rail order rates have begun to recover with the TTM ratio at 1.11:1, and I will highlight that Friction Management orders were up 58.4% in Q4. Lower net orders in Infrastructure drove the lower trailing twelve-month ratio to 0.87:1; the Summit order cancellation reported in Q3 was the driver of the decline. And lastly, the consolidated backlog reflected on Slide 16 totaled $189.3 million, up $3.4 million over last year, with substantial improvements across all Rail businesses, partially offset by lower Infrastructure backlog. The shifts in the backlog suggest a stronger start for our Rail business in 2026 compared to last year, with Infrastructure growth developing later in the year after the strong results achieved in 2025. John will cover some additional backlog details and developments in his closing remarks. I will wrap up by saying we are very pleased with our financial performance in 2025 and excited about the prospects for further progress in 2026. Thanks for your time this morning. Back to you, John.
John F. Kasel: Thanks, Bill. I will begin my closing remarks on Slide 18, reviewing developments in our key end markets. Starting with the Rail segment, we are seeing favorable trends in bidding activity that give us optimism that we will return to growth in 2026. The federal government programs that fund our customers' repair and maintenance projects are active and flowing, and we expect that this will provide a tailwind for demand for Rail in the U.S. for the foreseeable future. Of course, we will monitor developments in Washington and respond to any changes in funding should they occur. Turning to Rail Technologies, Friction Management had a phenomenal year in 2025 with 19% sales growth, noting that this growth was all organic, and we continue to invest in our commercial technology capabilities for this important growth platform and expect continuing long-term growth aligned with our customers' focus on safety, fuel savings, and operating performance. The total track monitoring product line was somewhat flat in 2025, but we are expecting improved demand in 2026 with the commercialization of some new technologies that improve rail safety and operating ratios. The UK market environment remains extremely challenging. We have taken significant actions in the last three years to reposition this business and expect it will lead to improved results in 2026. We also see some market trends worth mentioning for our Infrastructure segment. Starting with civil construction, activity remains robust, particularly in the southern part of the U.S., which is bolstering demand for precast concrete products. Demand for our environment keep for water management solution is increasing, with some large projects wins already in our backlog. These improvements are partially offsetting softer demand for our CXT buildings in the short term. This product line had a record year in 2025, and bidding activity is starting to pick back up. The softer residential real estate market has impacted demand for our Biocast wall system product line in our new Florida facility. We remain optimistic that a lower interest rate environment and a favorable population trend will improve demand in the future. Within steel, our protective coatings product line sales improved 42.7% in 2025, with the renewed interest in U.S. oil and gas production, and we expect these favorable trends to continue into 2026 as well. A quick comment on tariffs. As is the case for most domestic markets, impact of rising tariffs is being absorbed and managed by supply chain and commercial teams. I can confidently say that tariffs have had a minor impact on our business. In summary, we expect to start 2026 to be stronger than last year. And we believe we are well positioned to benefit from the infrastructure-based investment plans for years to come. Turning to Slide 19, I will wrap up today's call with an overview of 2026 financial guidance. I will start by highlighting the significant progress we have made since we launched our strategic transformation back in 2021. While last year's sales were up only 5% since 2021, adjusted EBITDA has more than doubled and free cash flow is up $30.0 million. The capital deployed in the business is also much lower, significantly improving financial results. Our 2026 guidance anticipates continuing sales growth, profitability expansion, and strong cash generation while investing in our growth platform. Bill mentioned earlier that our backlog was approximately $189.0 million at year end, up 1.8% versus last year. While the increase is modest, there are some important shifts in the bio that should be highlighted, and they support our optimism in 2026. Starting with the Rail backlog, which is up $34.5 million versus last year. The increase is driven in part by stronger North American demand for both Rail products and Friction Management. Rail Products backlog is up $10.6 million; Friction Management is up 7.6%. The balance of the increase was realized within our TS&NS, with the UK business securing a $20.0 million multi-year order last year. So the higher executable backlog for Rail should translate into a better start for 2026 versus last year's weaker first half when the pause in federal funding curtailed Rail customer project work. While Infrastructure backlog is down $31.1 million, the majority of the decline is due to the Summit order cancellation. In addition, the precast concrete backlog is down $5.4 million, with slightly lower CXT building backlog at the start of 2026 after a record year in 2025 for this product line. As a reminder, our precast business grew 19.9% in 2025. This impressive growth was all organic. I am pleased to report that project pipelines are robust and bidding activity is picking up in both segments. During the first two months of 2026, overall backlog is up about 15% from year end, with solid gains realized in both segments. Our 2026 guidance reflects 3.7% sales growth, with 11.1% to 10.3% growth in adjusted EBITDA, both at the midpoints of the range. Free cash flow is expected to remain robust at the midpoint of $20.0 million, with a slightly higher CapEx rate of 2.7% of sales as we invest in organic programs, primarily in precast concrete. In summary, our 2026 guidance reflects our expectation of another solid year and improvement in financial performance while investing for future growth along with strategic priorities. I will close today's call by thanking our team for a fantastic 2025. It was a challenging year in many ways, but our team was resilient, and we finished the year strong, in fact one of the strongest quarters we have seen in recent years, and we are carrying that positive momentum into 2026. I am coming up on my fifth-year anniversary as CEO in July. I look forward to greater accomplishments in 2026. I could not be more proud of what our team has achieved over those five years and beyond. Thank you for your time and continuing interest in L.B. Foster Company. I will turn it back to the operator for the Q&A session. Thank you.
Operator: One moment for our first question. Our first question will come from the line of Liam Burke with B. Riley Securities. Your line is open. Please go ahead.
Liam Burke: Thank you. Good morning, John. Good morning, Bill.
John F. Kasel: Good morning, William.
Liam Burke: John, it looks like with the orders in both Friction Management and Rail Products that the segment will look a little more normal than it did in 2025, based on the UK problems and Doge opening the year. The only thing we are seeing is maybe track monitoring flat, but that is project-based. Is there anything else that would keep you from having a more normal year in Rail Products this year?
John F. Kasel: No. Well, thanks, Liam, for joining us today. I think you hit it on the head. You know, we finished the year down about $189.0 million, and the reason being we delivered. So we all the executable backlog with our channel partners, you know, we had our billings were fantastic. The bookings really picked up here, as I mentioned, up 15% since the end of the year, with equal weighting, I would say, throughout Rail Products and the Infrastructure precast business. So this is, as you mentioned, back to normal, we feel. In fact, we were closer back to normal in the fourth quarter last year. Bidding activity and the need is there today. So our team feels very good about the start to the year and our ability to see that guidance, you know, the increased revenue that we are looking for, profitability. It is kind of refreshing to have that now compared to where we were just a year ago.
Liam Burke: Great. Thank you. And on concrete, you have the order cancellation. You have normal quarter-to-quarter variability anyway. You touched on order activity being pretty solid in the first quarter. Do you anticipate better cadence for concrete as we get into the third and fourth quarter this year, or second and third quarter this year?
John F. Kasel: Yeah. Same, you know, same. We are starting to pick up some nice backlog, as well as on the entire Infrastructure side in steel as well, which had a very strong back end of the year. We are starting to see the energy business, our specific facilities down in Texas as well as Birmingham, starting to build a backlog. And then Precast is, we were a little light coming into the year because of the building side, but, you know, we pretty much shored that up in the first two months already. So, again, our facilities are basically running at capacity right now through at least the first half of the year, and we will see definitely a pickup to the second half here, especially in areas like Florida, with their new facility really coming online. We will be excited about that.
Liam Burke: Great. Thank you, John.
John F. Kasel: Thanks, Liam.
Operator: Thank you. And as a reminder, to ask a question, please press. And our next question comes from the line of Julio Alberto Romero with Sidoti & Company. Your line is open. Please go ahead.
Julio Alberto Romero: Bill, Lisa. Maybe to start with you. Morning. Hey, maybe to start on the 2026 guidance ranges that imply sales growth of about flattish to 7% on the sales line and then EBITDA growth of 5% to 18%, I believe. Just talk about what the puts and takes are that you think can get you to the high and the low end of those ranges?
John F. Kasel: Yeah. Well, I think Liam hit it right there. It is about work and backlog and less disruption, and the need is, you know, we are an infrastructure company in the right market right now with industrials. So our customers need our product. So we are feeling, you know, much different about the start of the year than we were last year. And so order book is strong, and the bidding activity is as good as we have seen it in recent years. So we feel good about bringing the revenue in. Now we have to really shore up some things. We had some, you know, as we mentioned, some things in the UK that were, and we have done now three years of really rightsizing that business to protect the company, to protect the margins. But we feel good with what is going on specifically here on the Rail side. Our FM business, as I mentioned, I mean, you look at our growth platforms here, Julio. You look at Precast as well as Rail, you know, both of them up respectively, you know, 20% in the fourth quarter. And all the activity we talked about was all organic. So it really bodes well for the capital that we are bringing into the company. You know, as I mentioned that we took up the capital as a percent of sales a little higher this year, 2.7%, because we feel very, very good about the opportunities we have in front of us. And the reality is we have to increase capital now to stay up with the need specifically on the Rail side and precast side. And then we are backfilling some of the work that we need to do on the coating side as well. So, you know, right now, we are really focused on producing the backlog and executing well, coming into, you know, the first quarter and first half of the year. A much different position than we were just one year ago today.
Julio Alberto Romero: Absolutely. Thank you for that answer. And I was just hoping to go a little bit deeper into the cadence of the quarter-to-quarter Rail revenues expected in 2026. Obviously, it is difficult to foresee any Doge-like events kind of driving delays for your customers, but absent an event like that, you know, you mentioned you feel better about Rail now than maybe this time one year ago. Just speak about, you know, the confidence of the quarter-to-quarter cadence on your top line.
John F. Kasel: Well, remember, we are a construction seasonal company too. Right? So as far as Rail, they really do not get in and do much as far as refurbishments until the weather improves heading into, you know, second, third quarter. Right? So right now, it is about bringing us orders and when we are providing them the materials for them to get on track and do what they need to do to shore up things in the second, third quarter. So we are looking more of a typical bell curve, if you will, this year, with the highest revenues coming in Q2 and Q3, Julio. So, you know, unlike what we had to do this year, we will, you know, make it all happen in the fourth quarter, we are going to see quite a bit more work and activity in sales happen in the first half of the year, specifically in Q2 and then continuing in Q3 compared to what we had just last year. We are set up to do it. So when the customers come and the need is there, you know, we pivot and we do very well executing. But I think it is going to look like a much more normal year this year on the Rail side, including on the precast side. We feel very good about the performance we are having coming out of our concrete group. You know, we have done a good job of stabilizing our acquisition that we made back in 2023, and we are starting to really move product to the East Coast. And then we had a record year in our Hillsboro facility. Plant manager there, Jason Busby, has just done an outstanding job with record revenue coming out of that facility. So we feel very, very good about what we see specifically with our growth platforms and their ability to perform and do it more consistently this year than getting in the hole like we had last year and having to come out of it in the, you know, in fourth quarter like we did. And we communicated to the market. And I think the other thing that we are really focused on is our debt. You know, for us to be down to one time, to really manage the working capital that you see here today, as well as the cash generation. We are very pleased with the focus on, you know, bringing the cash back to the shareholders and getting our debt to something, well, we finished the year at 1.0x. So we are very proud of all those activities.
Julio Alberto Romero: And fair point about the inherent seasonality of construction in your business. I guess I am just asking because you had such a, you know, funky, for lack of a better word, sales cadence in 2025 on the revenue line. Thinking about the year-over-year growth rates for Rail in 2026, I mean, is it fair to expect year-over-year sales growth in 2026? And would you expect the year-over-year growth rates to be more weighted year, or, you know, I guess, just help us think about that given how the fact that the 2025 comps are so skewed.
John F. Kasel: So let me give you a little color, and then I will let Bill give you a few specifics. But last year, remember Doge. Right? So this time last year, the POs were curtailed because, basically, much of what we see, especially on the Rail Products side, 55% of what we have flows through the government. So there were just a number of projects that we were looking for that did not happen. So we were basically in a waiting game. The need was still there, but the funds as well as the POs were not flowing. So it really put us behind the eight ball, if you will, for the first half of the year. And we were able to make it up for the most part in the second half of the year because we have very good supply chain partners in our ability to flex our workforce and get the product out to the customer. The good news is that demand and requirement has continued now from the fourth quarter into the first quarter of this year. So that is where things are completely different. We are getting the POs, the bidding activity is there, and most importantly, the need is there. You know? We are in the maintenance and refurbishment part on the Rail side. So the needs to the market are there. And the good news is we are there to deliver. Maybe Bill can give a little more color on the phasing.
William M. Thalman: Yeah. Julio, I guess the way I would look at it is if you just take, you know, what you would layer out as a run rate in terms of your outlook for Rail, you know, if you convert that to a normal seasonality that we would typically see, you are probably going to find that there is going to be some growth in Rail in Q1, and stronger growth in Q2 and Q3 just based on the normal seasonality. And then with an extraordinarily strong Q4, you know, the growth potentially may not be as strong there or potentially, you know, not covering the extraordinarily strong Q4 that we had. And then on the Infrastructure side, I would say, as John mentioned, the backlog is improving, but we started the year with a little lighter backlog. That is probably going to be more. So I would say that it is still going to be a solid year of growth towards the second, third, and fourth quarters of the year, as opposed to getting off to a strong start like we did last year. I think John mentioned our backlog was elevated at the beginning of the year with a strong Buildings backlog. We executed against that in last year's Q1. So Infrastructure may be a little lighter, but strong sales growth to start the year for Rail.
Julio Alberto Romero: Super helpful. Thank you. Thank you, Bill and John, for that. And I guess just last one before I turn it over is just wanted to comment on, you know, you really did have a really extraordinarily strong free cash flow in the fourth quarter. If you could just speak to the drivers of that and how much of a function of that is kind of the structural things you have done as an organization.
John F. Kasel: Well, if you look in the last couple years, we do that pretty frequently, that we manage the fourth quarter. Right? Because of the working cycle needs. We have a big lift in working cycle related to raw materials coming in Q2, Q3 because of the seasonality, and that is our largest sales. So we are bringing in materials. Then we do a good job of moving those materials out and then collecting on our bills in the fourth quarter. We have a really good team that makes those things come together and make those things happen. So we did the same thing last year, you know, 1.2x that we finished the year, and we finished this year, that last year being the year of 2024. And then, of course, we finished this year at 1.0x. So we are good at it. Now, you know, we want to make sure that we keep that focus. But at the end of the day, it is also about making sure that we are delivering to our customer. And so behind all this is, you know, it is good quality, systems, on-time deliveries, and making sure that we do not have customers that have reasons not to pay us. So there is also a very good performing part of this that makes sure that when we ship something, it does not come back. We have delighted customers.
Julio Alberto Romero: Great. Thank you for all the color. I will pass it on.
John F. Kasel: Thanks, Julio.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Justin Bergner with Gabelli Funds. Your line is open. Please go ahead.
Justin Bergner: Good morning.
William M. Thalman: Hi, Justin. Lot's been covered.
Justin Bergner: But I just want to delve into some areas that maybe would be great. Could you give some more clarity on, so the total track monitoring? Could you provide some, you know, just discussion as to the puts and takes there on the fourth quarter and looking forward?
John F. Kasel: Alright. So we mentioned it was somewhat flat last year related to the activity. That is true. So we have been doing quite a bit of work behind the scenes and continue to work on technology innovation, which I mentioned in today's call. So we have some things that are coming to the market that help shore up what that business is, and keep bringing in next generation of product for condition monitoring to the marketplace. So our team was very active, and we had a significant job that we are working on abroad last year too. It took away a little bit of our time and attention to the North American market, but we feel very good about where we are at today. We have built up that team. We have spent our available SG&A to bring the technical resources here in the U.S., moving from the UK. So we are really set up well to deliver our Mark IV application, and then, as we have been talking about, this rockfall installation that we are seeing, pretty significant excitement in the marketplace today. So last year was really getting ourselves shored up to make this happen, to make sure we support it, make sure we had our operating centers ready to perform. So we are looking for big things out of that group in 2026 and beyond.
Justin Bergner: Got it. And then secondly, the protective coatings business, I mean, we expect double-digit type growth there in 2026.
John F. Kasel: Yeah. I think we are going to be right up to it. It is, you know? And I think what is going on right now in the world related to energy, and the need for more energy here in the U.S., is probably going to continue to put us in a better position as far as volume and activity for the balance of the year. So, again, we have spent some money in those facilities. We brought in some new equipment to make us more efficient, be able to produce more product. So as those orders come in, we are going to be ready to deliver in a big way that we have not done in years past.
Justin Bergner: Okay. Great. And then lastly, the headwinds to EBITDA in the quarter, I mean, you mentioned the UK Rail business. I guess your adjusted EBITDA adds back a lot of the restructuring expenses. So in light of that, any clarity on sort of, even after adding back those restructuring expenses, you know, what caused the fourth quarter to be a little bit light versus your expectations?
John F. Kasel: That is right. Yeah. So first of all, as far as the UK, I mean, this has been a three-year plan now. We are really getting ourselves aligned to the market needs over there because it has been changing. It has been dynamic. It was a big part of our growth initially, and as that market has changed, we have been pivoting and adapting our business to those needs. So I think we have done a very good job of rightsizing the business, and the materials handling part of that was the last step that we have done, getting ourselves in position to end the year strong, much stronger over there than where we were just a year ago. Bill, maybe you could give a little additional color, would you? Yeah. Would like us as Q4 other hit puts and takes. Yeah.
William M. Thalman: Yeah. Justin, you know, as John mentioned, it has been three years of a restructuring and downsizing effort there. What we are seeing coming through in the fourth quarter is basically what I would call us wrapping up those final steps of those downsizing efforts. So the margin impacts were a result of the lower sales volume. There was definitely manufacturing deleveraging that occurred as a result of that, some higher costs that came through. And then we also had some longer-term, legacy commercial contracts that we resolved within the quarter. So that all resulted in a headwind for margins in the UK in the fourth quarter. I guess what I would like to highlight is we are seeing improvement on a run-rate basis moving into 2026 already, and we expect that to continue to improve as we go into the year.
Justin Bergner: Got it. That is very helpful. If I could throw one last one, just the Infrastructure backlog, you mentioned it was up from the end of the year. Is it up modestly or is it up materially? I mean, you know, if, obviously, you are only one month away from the end of the quarter. I mean, should we expect to see a nice uptick in the backlog for Infrastructure?
John F. Kasel: We are up 15% since the end of the year.
Justin Bergner: Gotcha. Alright. Thanks so much for taking the questions.
John F. Kasel: Yeah. Thanks, Justin. Thanks for joining us today.
Operator: Thank you. And I am showing no further questions, and I would like to hand the conference back over to John F. Kasel for closing remarks.
John F. Kasel: Thank you, Michelle, and thank you for joining us today. So I would like to leave you with one thing that, you know, we mention sometimes, but I think it is really, really important to the culture and fabric of our company. I mentioned that, you know, in July will be my fifth year as CEO of the company. One of the things that the leadership team here has really been focusing on is our culture. L.B. Foster Company is in our 124th year, and that really, you know, says something about the company, and a lot of people have worked here for, you know, their entire career. And what really makes us tick is our value system. And, first and foremost, is our focus on the people and safety. Our safety results the last two years have been, respectfully, the best years we have had in the 124 years as far as safety performance. You know, it is not just the number. It is all the activity and the focus and the attention to our people, the process, putting money back in the facilities, the yards, and letting people know that they are important. When you have all those things come together, you are a more profitable company, and you are really providing the value to shareholders, and I think that is something sustainable. So I would like to recognize Ben McClellan. So Ben started with the company just about 25 years ago. So in October, he will hit 25 years. Ben is the Director of Environmental Health and Safety. He has basically been in that role since he joined the company, and let us just say 25 years ago, this was not the L.B. Foster Company that it is today. We did not have great safety performance. There was a lot of effort and a lot of activities to make that happen, but the reality is it took time. It took dedication. It took focus. It brought in new skill sets. And, but Ben was always there, and he was always pulling the levers as well as, you know, keeping the pieces together. So I would just like to thank Ben for all your efforts, all your focus, all your drive, and really putting L.B. Foster Company at the forefront to being world class. World class in, you know, how we do things and to be an extension of our, not just the shareholders, but, you know, our customers as well. So thank you for your time today, and I look forward to meeting or hooking up with you after we finish Q1 results. Take care.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.